Operator: Ladies and gentlemen, good morning and welcome to the HSN, Inc. Second Quarter 2015 Earnings Conference Call and Webcast. This call is being recorded. Following the conclusion of today's discussion, the HSNi team will be taking your questions. With that, I'd now like to turn the conference over to Felise Glantz Kissell, Vice President of Investor Relations. Ms. Kissell, please go ahead.
Felise Kissell - Vice President, Investor Relations: Good morning and thank you for joining us. On this morning's call, we have Mindy Grossman, Chief Executive Officer of HSNi; and Judy Schmeling, Chief Operating Officer and Chief Financial Officer. Judy will first review our financial performance. Mindy will then strategically discuss the business. As always, some of the statements made on this call may be forward-looking and, as such, are subject to many factors that could cause actual results to differ materially from expectations reflected in the forward-looking statements. Additional information regarding these factors, as well as various risks and uncertainties, can be found in HSNi's earnings release filed with the U.S. Securities and Exchange Commission and available on the company's website. HSNi does not undertake to publicly update or revise any forward-looking statement. Also on today's call, there will be references to certain non-GAAP financial measures. These are described in more detail in the company's earnings release and SEC filings available on the HSNi website. You are encouraged to refer to the press release and SEC filings and to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results. I will now turn the call over to Judy Schmeling, HSNi's COO and CFO. Judy?
Judy Schmeling - Chief Operating Officer & Chief Financial Officer: Thanks, Felise. Good morning and thank you for joining us. In the second quarter, we continued to leverage our unique attributes as a content-rich, immersive commerce destination. Our performance in the quarter demonstrated our ability to manage all levers of the business to drive strong bottom-line performance. Our second quarter results included sales growth of 4%, with digital sales up 11%, gross profit dollars higher by 7%, and an adjusted EBITDA increase of 10%. At HSN, sales increased 3% to $572 million, with digital sales growth of 11% and digital penetration increasing 310 basis points to over 40%. HSN's sales growth was led by performance in apparel & accessories, electronics and culinary, as well as our emerging category, travel. While sales were down in jewelry, we began testing product concepts to identify future opportunities within our new weekly destination programming series, Bejeweled. We experienced lower sales in certain home solutions and wellness businesses, primarily due to timing shifts, resulting in less air time for these businesses in the quarter. Our direct-response television marketing campaign featuring Keith Urban contributed less than 1% to our sales growth. Typically, the second and third quarters do not represent meaningful sales volume for this category of the direct-response business, an area we continue to view as opportunistic. HSN's units shipped increased 2% and average price point grew 1%. Return rates improved 70 basis points, primarily driven by product mix. Gross profit increased 7% to $209 million. Gross profit margin gained 130 basis points to 36.6%, largely due to favorable vendor settlements and lower inventory-related charges, including a decrease in inbound freight and duty. Operating expenses as a percent of net sales, excluding non-cash charges and the costs associated with supply chain optimization that I will discuss in a moment, increased 70 basis points to 24.7%. This increase was primarily from higher bad debt expense, employee-related costs and media spend for our direct-response television marketing efforts. The increase in bad debt expense was associated with changes in sales mix, in addition to higher write-offs of FlexPay receivables, particularly in electronics. HSN's bad debt expense remains extremely low at approximately 1% of total sales. As a result of the factors that I just outlined, HSN's adjusted EBITDA grew 9% to $68 million in the second quarter. I would now like to review our supply chain optimization initiative currently underway at HSN that will enhance our fulfillment capabilities, maximize efficiencies through automation and increase speed of product delivery to our customers. Within our supply chain organization, we continuously implement strategies to innovate and optimize our operations to deliver and enhance customer experience. As part of this effort, we announced in mid-June that we will consolidating two distribution centers in 2016, resulting in the closure of our Roanoke, Virginia facility and moving operations to our distribution center in Piney Flats, Tennessee. This consolidation will evolve the eventual elimination of approximately 350 positions at the Roanoke distribution center. As a result, we took a charge in the second quarter of $3 million, or $0.03 per diluted share, largely associated with employee-related expenses, including retention incentives and severance benefits. We expect an additional $1 million to $2 million in charges over the course of this transition, which will be substantially completed by mid-2016. Our newly automated facility in Tennessee is expected to increase speed of delivery to our customers and generate labor and transportation savings beginning in the back half of 2016. As previously articulated, we anticipate that we will ultimately use much of these savings to remain competitive in the marketplace and drive sales demand, as appropriate, including to fund additional shipping and handling initiatives. I also want to highlight some of our distribution initiatives, as we continue to be a leader in boundaryless retail. At the end of the second quarter, we increased our HSN2 distribution by 25% with the launch of both Cablevision and Verizon FiOS, bringing our total HSN2 footprint to over 40 million subscribers, almost half of whom have our patented Shop by Remote functionality. Although HSN2 still represents a relatively small piece of our total HSN business, we continue to see future opportunities in leveraging this platform, both as a source for new customers and as a method to deepen our relationships with existing customers. Turning to Cornerstone, sales increased 5% to $313 million, with digital penetration increasing 330 basis points to over 67%, primarily from sales growth in the home brands, particularly at Frontgate and Ballard Designs. Garnet Hill's sales stabilized, driven by the brand's strategic repositioning over the past year. Gross profit at Cornerstone increased 9% to $127 million. And gross profit margin improved 150 basis points to 40.6%, largely due to higher product margins from reduced promotional activity and strategic pricing strategies, particularly at Frontgate, Ballard Designs and Garnet Hill. Operating expenses as a percent of net sales, excluding non-cash charges, increased 110 basis points to 33.6%, primarily as a result of higher employee-related costs, as well as investments in marketing and brand initiatives. Cornerstone's adjusted EBITDA increased 12% to $22 million in the second quarter, with Garnet Hill, Frontgate and Ballard Designs the greatest contributors to this performance. At HSNi, our second quarter effective tax rate of 38% was comparable to the same period last year. As part of our 4 million share repurchase program, established in late January of this year, we repurchased approximately 160,000 shares during the second quarter and 280,000 shares year-to-date. These share repurchases are principally intended to offset dilution related to the company's equity compensation program. Looking forward, we appreciate that the competition for consumer spend continues to intensity in this rapidly-changing retail landscape. We are also mindful that our immediate hurdle is tougher comps in the second half of this year, given our outstanding performance a year ago. At HSNi, we believe that remaining focused on our fundamental strategies to expand our customer file, create unique and immersive products and experiences, and leverage our strong digital platforms will lead to continued long-term success. I will now turn the call over to Mindy for a strategic review of the business.
Mindy Grossman - Chief Executive Officer & Director: Thank you, Judy. Good morning, everyone. Our focus on content-driven commerce, customer growth and retention and unique differentiated products continues to position us well to lead in this world of boundaryless retail. In the second quarter, this was clearly demonstrated at HSNi, with 4% sales growth that translated into double-digit EBITDA expansion. Extending the momentum from the past several quarters, we maintained our strategies on customer engagement, worked to optimize our digital platforms and sought ways to extend our products and experiences across the landscape of distributed commerce. Our consistent execution also led to digital sales growth of 11% at HSNi. Mobile sales grew 23% for the quarter, with penetration at 18% of total sales and 35% of digital sales. At HSN, we had solid performance in the quarter, with sales growing by 3% and EBITDA increasing 9%, bringing our year-to-date sales growth to 7%. We delivered leverage on our top-line through strong gross profit growth. Sales were very strong in apparel & accessories as well as electronics, partially offset by jewelry and reduced air time and timing shifts in certain home and wellness categories. Digital sales grew 11%, marking the fifth consecutive quarter of double-digit sales growth. Our strategic efforts on the customer resulted in 5% year-over-year growth in HSN's customer file. Our best customers were up 8%, increasing their spend with us and purchasing more units. We are pleased with the progress of our personalization initiatives, which are helping us deepen our engagement with our customers. Sales placed on the HSN private label credit card increased 15%, with active cardholders up 10%, and significant growth coming from digital. In digital, our ongoing focus on product assortment and content, as well as optimization of the real estate, navigation and shopping funnel across our digital platforms resulted in a 310 basis point increase in digital penetration, over 40%. Mobile sales were up 21% compared to the previous year, with mobile accounting for 18% of total sales and 44% of digital sales. Customers making a purchase through mobile increased 17%. Our optimization efforts included improving the navigation of our mobile apps to drive downloads – excuse me – and fully leverage the overall app experience, as well as updating mobile product clips with enhanced video content. We're also leveraging YouTube player within Android apps. Social media platforms continue to drive both engagement and commerce, while extending the reach of our brands and content. During the quarter, HSN took part in a new animated image beta test with Pinterest. We tested Pins in categories that are proven performers for the brand on the platform, including apparel & accessories, beauty and culinary. Early results are promising, with strong performance in social engagement and session. Leading up to the much-anticipated launch of Margaritaville in early July, HSN partnered with the Margaritaville brand to throw the ultimate block party for a loyal fan and 25 of their friends. The contest was fully executed on Margaritaville's social platforms and encouraged fans to share their #MargaritavilleMoment by posting photos on Instagram and Twitter. The goal of the campaign was to excite the Margaritaville community and build awareness about the partnership with HSN. We received hundreds of images from Margaritaville's fans across the country, and the contest winner was announced on air in conjunction with our launch. More details about this exciting new partnership in a moment. We continue to elevate our live show and content experience with an aggressive eye towards shifting our production model to support our boundary-less experience. Our three primary areas of focus are: one, destination programming. We're expanding this initiative with seven weekly shows currently in production. As Judy mentioned, in the second quarter, we launched Bejeweled, which features our latest jewelry discoveries and exclusive collections. We're leveraging this successful platform as one of our strategies to re-ignite our jewelry business. Two, original content production; our content screen (14:22) is extensive and growing, as we develop and deliver more content on more platforms for our customer. The amount of our original content has increased exponentially over the past year and will scale even greater in the future. And three, content distribution; our goal is to distribute this robust, high-quality content rapidly to the broadest audience possible. This includes our own HSN ecosystem from live TV to hsn.com, to our mobile platforms: content partners, such as YouTube, Univision and AOL; social platforms and over-the-top networks including TiVo, Roku and Xbox. Combined, this demonstrates our unique position to engage with our current customers and reach new customers wherever they are. I will now review those categories that most notably drove the quarter: apparel & accessories, electronics, travel and culinary. Our apparel & accessories business continues to defy broader market trends. The key drivers to our success, including our compelling assortment of propriety brands, our highly-followed editorial content on the latest fashion trends, and our ability to capitalize on our digital replenishment strategy. IMAN had the best quarter ever in her six-year history with us, and Serena Williams anchored our successful dress and sandal events We also engaged customers with our Curations Caravan, which embarks on a journey to a new destination every season. Our most recent stop in Hawaii captured the essence of Curations Caravan through storytelling imagery, generating awareness, engagement and increased traction on our social platform. Lastly, we premiered our Tastemaker series featuring fashion icon Iris Apfel. The series leverages Iris' reputation in the fashion industry and the recently released Albert Maysles documentary about her. Our exceptional performance in consumer electronics was led by our ability to forge strong partnerships with key brands. These partnerships provide us with a platform to deliver the latest technology to our customers and educate them about the products. Our successful spring innovation event in April was anchored by Samsung, which showcased their new curved 4K televisions. In May, we cemented our partnership with Bose and our customers responded favorably. And in June, we premiered a new exciting partnership with Dell. Chef brands continued to be a major focus in culinary, with Wolfgang Puck, Ming Tsai and Curtis Stone delivering strong results. National brands also drove performance and helped provide a balanced portfolio. We focused on new innovative product launches and exclusives for key national brands. We also expanded content with shoppable functionality with our first-ever summer cooking miniseries, which included specific content and a unique format during out HSN morning show. It was supported by our launch of recipe ensembles on our digital platform featuring products specifically tied to our on-air experience. During the quarter, the emerging category of travel-related products became a more meaningful part of our business as we positioned HSN as a lifestyle destination for our customers. The success was primarily driven by the exclusive luggage collections from Samantha Brown, the Travel Channel's popular personality and travel expert. Another contributor was our TravelSmith brand, highlighting their secure identity technology. We continue to identify opportunities to leverage the brands across the HSNi portfolio. I will now review the excellent performance at Cornerstone, as we built upon our momentum in strengthening the brand portfolio. Sales increased 5%, with double-digit EBITDA growth of 11%. We had sales growth in our home brands, with particularly strengths from Frontgate and Ballard Designs. While Garnet Hill's sales were essentially flat to the prior year, the brand contributed significantly to Cornerstone's EBITDA performance, along with Frontgate and Ballard Designs. Digital sales grew 10%, with digital penetration up 330 basis points to over 67%. Mobile sales were up 25% compared to the previous year, with mobile accounting for 17% of total sales and 25% of digital sales. Turning now to those brands at Cornerstone that had the most significant impact during the quarter, Frontgate prominently launched its Margaritaville assortment. The highly anticipated introduction was a significant new customer driver with a response rate of nearly 30%. This launch included an interactive shopping-enabled lookbook integration with Instagram. It also featured Frontgate's ultimate tropical getaway sweepstakes that generated strong engagement with over 1,000 entries in the first five hours of the product launch. Frontgate's success was also propelled by its outdoor segment, which included the introduction of its new luxury contemporary brand, Porta Forma. Contributing to top-line results at Ballard Designs was a strong response to both interior and outdoor furnishing, with particular success in bed, bath and lighting as well as improved digital penetration. Ballard Designs, along with our partner, designer Bunny Williams, would showcase this part of the Southern Living Idea House. At Garnet Hill, our strategy of right-sizing the business with a greater emphasis on home, while strengthening brand awareness and profitable growth yielded positive results. In June, Garnet Hill opened its first pop-up seasonal store in Bridgehampton, New York. The store showcases our home collections, while delivering a fuller brand experience to our target consumer in a core market for the brand. This is a great example of what we mean by content-driven retail. We are encouraged by the traffic and brand awareness. The store will operate through Labor Day and then during the holiday season. Garnet Hill also launched phase one of its new designer program. This is a B2B sales channel that targets top-tier U.S. interior designers. In addition, Garnet introduced its dorm initiative within kids' home. Garnet Hill will soon open a new office in Exeter, New Hampshire to complement the original flagship headquarters office in Franconia. This new location puts Garnet Hill closer to larger metropolitan areas, specifically New York City and Boston, to facilitate networking with other fashion leaders and merchandisers and for proximity to a larger talent pool. It also provides an opportunity to build out our design and merchandising capability. At HSNi, we're excited about the opportunities ahead to deliver additional content-driven retail experiences to our customers, personalize the interactions and extend our audience through new platforms. Our Margaritaville partnership we discussed on our last call launched last month on HSN. We're building this extensive lifestyle collection, which delivers on the promise of fun escapism, both to passionate Margaritaville fans and to existing HSN and HSNi customers. This is the first time we've launched a brand across the HSN portfolio with participation from Frontgate and TravelSmith. We kicked off the partnership in the beginning of July at HSN and carried it throughout the month with 5 O'Clock Somewhere TV events every Friday night. In July, we added to HSN's content-rich experiences with another new (22:27) destination programming series, Friday Night Game Night starring Sean Daly. It airs on Friday nights for four minutes every hour in our prime evening hours. The show represents a deepening of our gamification strategies to drive both engagement and commerce, with customers competing on-air and online for chances to win prizes. Since the premier of this new series, we've seen a 36% increase in game plays in the arcade at hsn.com. We continue to be a launch platform for our partners, which most recently featured the premier of Microsoft's latest operating system, Windows 10. This strategic collaboration between Microsoft, HP and HSN, with social media playing an integral role, proved to be very successful. We were one of the first retails to showcase this new technology. Leading up to the launch, we worked with HP, partnered with the Girls with Glasses and 25 additional social media influencers to drive their followers to tune in to the product launch. The campaign featured both on-air and digital integrations with the Girls with Glasses. It leveraged HP's top millennial influencers through content, social engagement and the live show. It was one of our largest social media campaigns to-date. In apparel & accessories, we had the return of Serena Williams and IMAN. Later this month, we will be presenting our Fall Fashion series, which will include the debut of famed actress and fashion guru Melissa McCarthy. Following the U.S. Open, we're hosting Serena Williams' second annual fashion show in New York. Also upcoming, HSN Pacemakers (24:19) with June Ambrose in Fashion, Carol Brodie in Jewelry and Jay Manuel in Beauty; they will provide relevant in-style information for why and how to wear the must-haves in all sizes this season. As part of our social media engagement strategy, we will be encouraging customers to vote on these new looks via Facebook for a chance to win prizes, including a fashion consultation with style icon June Ambrose. The campaign will be featured both on our social platform and on June's highly followed social network. Next month, we're launching the first digital-only Today's Special event on hsn.com, featuring our vitamin expert, Andrew Lessman. Andrew will be creating six hours of live video content remotely. We are experimenting with this type of programming format as an alternative to our traditional on-air experience. If successful, this could be an opportunity for other HSN personalities in programming. Earlier this month, we announced the addition of Alicia Valencia as our new Senior Vice President of Beauty. She brings 30 years of beauty industry experience to HSN, including the Estée Lauder Companies and Macy's. Most recently, Alicia was head of Bobbi Brown North America and brings deep expertise in multi-cultural beauty to HSN. She will be responsible for strengthening our competitive positioning and growing our product offering. At Cornerstone, we remain focused on continuing the momentum that is building in the portfolio. And the media initiatives from a few of our brands include: Frontgate will be introducing Interiors by Frontgate, leveraging the success from our master suite collection, further expanding our collection of furnishings inside the home. This is in addition to intensifying our successful Margaritaville collection. At Garnet Hill, the team has demonstrated its ability to profitably manage the business. And we are now at the stage of building the brand for growth, including strategic investments in circulation. We are expanding our collaboration with key partnerships, such as Eileen Fisher. We will also be extracting learnings from our pop-up seasonal store and re-infusing the business with these insights. As a content-driven retailer, we create unique experiences for our customers. We're always pursuing opportunities to elevate the experience and allow consumers to engage physically with the brand. As part of this strategy, in the late fall, we will be opening an experiential retail destination for Ballard Design in King of Prussia, near Philadelphia. This destination, Ballard Design Studio, will not only showcase products in new and exciting ways, but will also feature a design studio introducing consumers to the world of interior design. Customers will be empowered to be their own aspirational decorator and can make it their own through expanded design and customization services. As we have seen in our other locations where we have a physical presence with Ballard, our customers are very excited to see the physical manifestation of the brand. Our two retail locations in Florida provide a solid baseline to grow and learn from, and we already know from these existing locations that increasing our brand presence and engagement in an area drives performance across all our routes to market. Going forward, we will continue to be strategic in identifying experiential store destinations. We are in the process of enhancing our digital platforms across the Cornerstone portfolio. As part of these enhancements, our Product Configurator will allow end users and designers to build and customize unique items with full visualization of the finished product. There will be two initial rollouts of the tool. The Ballard Customize It tool will allow users to design and customize their own furniture. The Build a Dress configurator from Chasing Fireflies will empower customers to construct their own individual costume. Finally, I'm very pleased to announce that retail and home furnishings industry veteran, Mary Madigan, is joining Grandin Road as Brand President, a newly created position. Mary brings exceptional experience to Cornerstone's distinctive home furnishings brand, including senior leadership positions at Williams-Sonoma, Pottery Barn, and Restoration Hardware. Mary will have responsibility for developing and executing strategies to continue to grow the business and brand. She will also be responsible for seeking opportunities to leverage Grandin Road across the HSNi portfolio. In closing, at HSNi, we are pleased with our performance year-to-date. And as we enter into the second half of this year, we're mindful that we're confronting tougher comps. We remain focused on our strategy of delivering distributed commerce through content, community, duration, convenience and customization. We are well positioned to engage customers in a world where the buy button will be everywhere and leveraging visual content is critical. All of us at HSNi look forward to continuing this journey, as we pursue strategies to further advance our unique model. And thank you. And now, we would like to take your questions.
Operator: And our first question comes from the line of Eric Sheridan of UBS. Your line is now open.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the question. Maybe, Mindy, if you have a little bit of color on the direct-response TV marketing campaign, how you saw that operate out in the field, what it meant for sales and what it might mean for doing additional type of marketing campaigns like that going forward to drive the business. Thank you.
Mindy Grossman - Chief Executive Officer & Director: Sure. We've been pleased with the Keith Urban direct-response campaign. Knowing that the second and third quarters are smaller, it really ramps up into the fourth quarter of the year. So we're always looking opportunistically for things that we think can drive additional awareness, customer acquisition and certainly revenue. And we will be continuing the Keith Urban business and actually revamping parts of the infomercial to refresh it going into the fourth quarter. As of right now, we don't have any specific plans to expand that to other brands, but we will continue to look for opportunities.
Operator: Thank you. And our next question comes from Tom Forte of Brean Capital. Your line is now open.
Tom Forte - Brean Capital LLC: Great, thanks. So I wanted a little more clarity on what happened in the home category for HSN during the quarter, didn't completely understand the comments there. And then, generally speaking, it sounds like you are advancing your efforts, for lack of a better way of putting it, to have physical stores, so when you look at your brand portfolio, both Cornerstone and perhaps HSN, how do you make the decision on when it's appropriate to have a physical location? Thank you.
Mindy Grossman - Chief Executive Officer & Director: Okay, great, both great questions. So we had lower sales in certain home solution and wellness business, as I mentioned. It was primarily due to timing shifts resulting in less airtime for those businesses. So as we stated on the last earnings call, we did benefit from an additional visit in the first quarter from our vitamin expert, Andrew Lessman. But while sales were down in the quarter, these businesses did experience productivity gains, so I just want to be clear on those. So we believe in the growth prospects in these categories, and we're pursuing opportunities, as you heard on the call. We're doing our first digital live Today's Special. We're excited about that. And if successful, we can extend that across other businesses. And then as it relates to physical stores, we have always said our primary goal is to be a direct-to-consumer business. Having said that, we do believe that for our brands, and specifically our home brand, there really is an opportunity, both from a marketing perspective and a customer awareness perspective, to have targeted strategic locations. We have two Ballard Design stores in Florida. They were built quite a while ago. And the result of those stores, even though they're not in our new footprint, which we believe is much more exciting, have been very positive. And we know that there is a lift when we do have a physical store. So we're going to take the learnings from King of Prussia and then we will determine strategically if there are additional opportunities. But to be clear, we are focused on being a direct-to-consumer business and using these as assets for awareness and activation.
Tom Forte - Brean Capital LLC: Thank you.
Operator: Thank you. And our next question comes from Matt Nemer of Wells Fargo Securities. Your line is now open.
Matt R. Nemer - Wells Fargo Securities LLC: Good morning. I just wanted to start with a question on operating expense growth. It was about 7% ex the DC cost in the quarter versus about a 3% to 4% run rate, and I think that was coming from both sides of the house. So just wondering if you could talk to what's driving a little bit above average growth on the expense side.
Judy Schmeling - Chief Operating Officer & Chief Financial Officer: Sure, so on the HSN side, part of that expense growth rate, as I mentioned, was related to the Keith Urban infomercial, media costs that we're buying on other networks. So that is a higher expense ratio for that particular business line. That does distort our operating expenses. And I think if you look over the past two quarters as well, you would have seen that same higher growth rate, and that is a big contributor to that. The other part of it, as I had mentioned, was an increase in bad debt expense in the quarter, particularly as it relates to our electronics growth that we've experienced over the past several quarters. Then on the Cornerstone side, it's primarily related to employee-related costs, including incentive compensation because the company's performing better this year versus last year.
Matt R. Nemer - Wells Fargo Securities LLC: Got it. Okay, that's very helpful. And then looking forward, you talked about the increased footprint for HSN2 during the quarter. Do you have any sense for how that could lay out over the next several quarters? Are you in discussions to roll that out with additional distribution partners?
Mindy Grossman - Chief Executive Officer & Director: Yes. We are very pleased with the performance of launch on Comcast last year, continue to see additional opportunity, so we launched with Cablevision and Verizon FiOS this quarter and are continuing to be in talks with other providers as well. We do see that as a great platform, not only to continue to have sales growth related to that, but also that reactivation of customers and deepening that engagement with our existing customers.
Matt R. Nemer - Wells Fargo Securities LLC: And then just lastly, is the bad debt expense purely a function of the mix shift into CE? So for example, does the percentage of charge-offs correlate directly with that or is there something that drove that higher in terms of the types of customers that are taking advantage of it?
Mindy Grossman - Chief Executive Officer & Director: Sure. Great question, so it is primarily related to that increase in electronics that we've had growth in over the past several quarters, but there is also a mix shift. As we go more and more online, we do experience higher bad debt write-offs via online versus the phone. Because the phone is our existing core customer, so as we're attracting more new customers, there is a higher bad debt write-off associated with some of those new customers. So that is an area that we continue to tweak and really look at our screening processes and things that we can do to continue to eliminate those ones that have the higher propensity to do that. But, like I had mentioned, overall, our FlexPay program is a very effective one for us and our expense is nominal on it, approximately at 1% of sales.
Matt R. Nemer - Wells Fargo Securities LLC: Great, very helpful. Thanks so much.
Operator: Thank you. And our next question comes from Anthony Lebiedzinski of Sidoti & Company. Your line is now opening.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Yes. Good morning. Thank you for taking the questions. So first, as far as the HSN gross margin, you called out in the press release favorable vendor settlements. So just wanted to know the significance of that, and was that just a one quarter issue? And while we're also on the HSN subject, as far as the supply chain optimization initiative, I know you gave some details about that, just wondering as to what your expected cost savings are from that for 2016, once you complete that process fully.
Judy Schmeling - Chief Operating Officer & Chief Financial Officer: Sure, Anthony. In terms of the favorable vendor settlements, it was not a huge part of our gross profit margin improvement, but probably a third, I'd estimate. But again, I wouldn't take that in isolation, because to have a favorable settlement, you took a charge in a prior period. So I would look at our gross margin over several quarters together in terms of evaluating that. So, in other words, yes, there was a slight tick-up this quarter. There would have been a down tick in a previous quarter, so just average them out. And our goal continues to remain to really keep our gross margin constant year-over-year, but it will fluctuate quarter-by-quarter depending upon product mix and other anomalies like this. As it relates to the supply chain optimization, we haven't articulated exactly what our savings are going to be on that, but it is a favorable IRR on the project. And again, as we've articulated, we're going to be strategic with how we use those savings to really drive continued sales demand and also increase that service delivery time to our customers. As we get closer, we'll articulate that more in detail.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Got it. Okay. And also, as a follow-up on a different subject, as far as your credit card program, obviously, it has continued to do well for you on the HSN side, so what percentage of your sales is now coming from the HSN credit card? And also, as far as your June announcement in regards to your relationship with Alliance Data Systems, can you give us some color as to how you're thinking about expanding that to the Cornerstone brands?
Judy Schmeling - Chief Operating Officer & Chief Financial Officer: So the sales on the HSN credit card is somewhere above a third of the business. And, as you see, it's been growing. We have a fantastic relationship with ADS, and we continue to work on programs that drive loyalty as well as new customer acquisition to the credit card. And, yes, we are working on them to roll out loyalty and credit card programs with the Cornerstone brand over the course of this year into next year.
Mindy Grossman - Chief Executive Officer & Director: Right, and each one of those will be tailored specifically for the brand, as appropriate.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Okay. Thank you.
Operator: Thank you. And our next question comes from Barton Crockett of FBR Capital Markets. Your line is now open.
Zack Silver - FBR Capital Markets: Hey, guys. This is Zack Silver on behalf of Barton Crockett, and thanks for taking my question. We were interested in hearing how you're feeling about the fourth quarter. I know you guys touched on it a little bit earlier, looks like you're facing some tougher comps. I know you don't give specific guidance, but maybe if you could just give us a sense of how you're viewing this in a little bit more detail.
Judy Schmeling - Chief Operating Officer & Chief Financial Officer: Sure. So the fourth quarter last year, if you'll recall, we did have a fantastic quarter, with our sales up 14%. So we're, I would say, feeling optimistic about the fourth quarter, but recognizing that is a really, really tough comp for us. So all hands are on deck. I think that given the competitive nature of the environment and what is happening out there, it's hard to say today in August exactly what's going to happen in the fourth quarter, but we have a tremendous line-up of brands on HSN. We feel much better about Frontgate, Ballard Designs and Garnet Hill going into the fourth quarter at this point in time. So we are doing everything that we can, but recognizing it's a very tough comp and a very competitive environment.
Zack Silver - FBR Capital Markets: Okay, great. And just a quick follow-up, looks like you guys again generated some good leverage with EBITDA significantly above revenue growth. And I was wondering if you could give a sense on whether you see that trend continuing throughout the back half.
Judy Schmeling - Chief Operating Officer & Chief Financial Officer: Sure. So again, we don't give any guidance, but we continue to try and manage the business based upon the levers that we have on hand, so sales, gross margin driver levers, operating expenses. So that has been our goal is to continue to have higher EBITDA leverage on that sales growth and so that continues to be our goal over the long-term.
Zack Silver - FBR Capital Markets: Okay, great. Thank you very much.
Operator: Thank you. And our next question comes from Matthew Harrigan of Wunderlich Securities. Your line is now open.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thank you. You know, I've noticed that you're advertising more on CNN and I think maybe even some other cable networks. I know you've had some nice improvement in your assimilation rate and that really changes the economics of your business and probably affects the efficacy of the marketing. And I suspect also the assimilation rate probably equates to better viewing retention when people start watching HSN. I mean, do you feel that that's something that really needs to be tweaked now that the core business is as robust as it is? And then secondly, this is kind of a mildly flaky question, I guess, but with technology changing and getting better, even things like 3D getting better, I think you made an effort with visualization early in the last decade before you were even on board at HSN and that seems like it might be kind of a fun concept as well as things improve. Is that something that you think could be nice for your business?
Mindy Grossman - Chief Executive Officer & Director: Great question. So on the first one we do run cross channel spots across a number of different networks, from lifestyle network to news. And those are great to extend our content. But the real focus and where we're seeing the greatest impact of that assimilation is through our personalization efforts based on the new talent and technology capabilities that we have, as well our ability to leverage all this new content that we're creating off the HSN platform. And you've heard from me before, but we're very focused on the universe of distributed commerce. And we believe that audience and extending our reach is a very important part of our strategy, hence our partnerships with Univision and AOL and other social and over-the-top networks. So that's really going to be where our focus is going to be concentrated. And it's really about getting our content in as many places as possible. As it relates to technology, you're right. We're technology obsessed, and we're always involved in what's new. And yes, we have a team that is looking at what the future of 3D could be along with other technologies, including shoppable video and things like that. And who knows? I mean, 3D technology, you'd be able to design what your home is going to look like with all our furniture could be something in the future. So I think you've got to know what's out there. You've got to be engaging with people. And we've always had a team that is in the advance innovation space. And we will continue to do that.
Matthew J. Harrigan - Wunderlich Securities, Inc.: And what about, I guess, the effort like 15 years ago was like in virtual modeling for clothes, where people put a conception of themselves, I guess just probably just like height and weight back then. Obviously, it could be much more now. Is that something that you tried once, and even though the technology has improved somewhat, it probably doesn't make sense? Because you would think that that sort of faux try everything on...
Mindy Grossman - Chief Executive Officer & Director: Yeah. No, I think that one's a little different. I mean, I think that you're seeing people have had mixed success with things like fit predictors and mirrors that will show you what everything looks like on. We're constantly looking at things. I feel a little bit more robust about the opportunities in things like the home and designing area. But again, there's new technology coming out every day. And it behooves our teams to be looking at it first and then determining what's going to be the most effective for our business.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Have fun at the U.S. Open.
Mindy Grossman - Chief Executive Officer & Director: Yeah. It will be fun.
Operator: Thank you. And our next question comes from Alex Fuhrman of Craig-Hallum. Your line is now open.
Alex Joseph Fuhrman - Craig-Hallum Capital Group LLC: Great. Thanks for taking my question, wanted to ask a little bit about the supply chain optimization initiative that you have rolling out over the next year or so. It seems just a little counterintuitive that you're going to be consolidating into fewer distribution centers while actually shortening delivery times. Can you talk a little bit about how that's going to work, and where packages will be shipped through and from, and how specifically much shorter delivery times could become?
Mindy Grossman - Chief Executive Officer & Director: Sure. So the reason why the delivery time will be shorter is because we'll be able to get the packages out much faster because the facilities will be highly automated. So and we'll also have the ability to do same-day drops and things like that. So we'll be able to ship out the packages much faster versus what the current time is today. And our existing Roanoke facility is more antiquated. So by us being able to consolidate that, we'll be able to do it on a much quicker methodology. And this is really more of those apparel, jewelry items, we'll be able to quickly get them out.
Alex Joseph Fuhrman - Craig-Hallum Capital Group LLC: That's terrific, very helpful. Thank you very much.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the conference back over to Ms. Grossman for closing remarks.
Mindy Grossman - Chief Executive Officer & Director: Thank you, everyone. Look forward to speaking with you again soon.